Operator: Good morning, everyone and welcome to Barry Callebaut Half Year 2023-2024 Financial Results presentation. My name is Sophie Lang, Head of Investor Relations, and it's my pleasure to welcome those of you in person with us today at the SIX Convention Centre, and also to welcome those of you joining online via webcast. Our session today will be hosted by our CEO, Peter Feld; and our CFO, Peter Vanneste and we're going to cover off the half year results as well as an update on BC Next Level and an update on the cocoa market environment. Before I start I'd like to draw your attention to the disclaimer. I won't go through it in detail, but please do take note of it. And I'd also just like to remind you that today's session is being recorded. And with that, I'd like to hand you over to our CEO, Peter Feld.
Peter Feld: Thank you very much, Sophie. Ladies and gentlemen, good morning everybody. Thank you very much also from my side for attending the half year results conference of Barry Callebaut. Since we met the last time six months ago on the 1st November, we've made solid steps forward, both in delivering on our Barry Callebaut Next Level investment program, as well as rebuilding the commercial momentum in the group. While we are progressing well with our plans, you know that the world has changed since the 1st of November radically, literally cocoa prices have increased to record levels and supply has become a problem for several players in the market. The China consumer sentiment, it is the lowest ever level at this point in time and we have two major geopolitical challenges underway. In that environment and benefiting from the global presence that we have for our customers, and most importantly in the bean sourcing regions and countries, Barry Callebaut has delivered a solid performance in the first half year with volume up 0.7% and net profits up 0.8% in this first half year. We are also starting to execute on our four long-term growth strategies that we mapped out to you and I'll speak to that in a minute. Certainly, our Barry Callebaut investment program Next Level is well on track across all different work streams. So with that and being careful in this environment, we are reiterating our 2023-2024 guidance of a flat volume in EBIT, whilst cautiously navigating these unprecedented cocoa pricing and supply situations. So let me start saying a few words to the four growth strategies that we mapped out to you earlier. So first on gaining two or three outsourcing and partnership deals with the packaged goods customers. We're progressing very well. We have positive outsourcing growth in the first half year already with new incremental deals secured. The second pillar is the non-packaged goods side, the Gourmet side. On that you've seen in the report we're growing double digits. The third pillar is scaling up our specialties, and in that element specifically not just the specialties and decorations products, but all the specialties we're offering to our customers like, for example, vegan products. And in that, we are happy to report that we see increases in customer penetration of specialities in a majority of our country clusters. Last but not least, and that’s certainly hold back by the China consumer sentiment situation in all countries outside of Chine, in Indonesia and Asia we are actually growing close to double digit, which is good progress from the team there. On our investment program Next Level, we're tracking well across all different levers. First, you remember we had two different legs that we have based our program on. First, we go closer to markets, which is actually where Barry Callebaut came from, and then secondly simplify and digitize how we work with our customers, but also how we work internally as an organization. So on closer to customers on market, the new operating model is in place since January on the top level management, and the investments in manufacturing infrastructure and especially quality are well underway. A cross-functional team that we've established to work on traceability and segregation in order to advance our sustainability competencies also into the next decade is positively underway here and we're very certain that we will deliver the EUDR requirements by the end of this calendar year and then actually go beyond that with full traceable and segregation capabilities for the company. The other leg, simplify and digitize Barry Callebaut. We are delivering as a consequence of working smarter and that is important. As a consequence of working smarter in the group, we are delivering 15% cost savings outside of the raw material. We have announced that in September we have further detailed that especially also to our social partners by the end of February. And the discussions with our social partners are well underway. You may have seen in the press that we just settled a discussion we had on the manufacturing side in Belgium yesterday with positive outcome. And so, we're progressing step by step to go through this very complicated transformation in Barry Callebaut. The SKU reductions in order to simplify our portfolio and to focus on the product categories and segments that matter most to our customers, is also progressing. We have already 10% of our SKUs reduced. We are well on track to actually deliver the 30% that we have committed to in the group. And then very excited about Amr Arafa who joined us as Chief Digital Officer in January to help us really create an agile, tech enabled organization. Amr has been the Chief Data Officer for IKEA over the past four years and he has been with Mondelez in the period before. So he knows chocolate very well and we can see that already very clearly coming to work as he really understands our business well and applies a new mindset for really applying technology and data management in an effective way into Barry Callebaut. So more to hear on that side. Cocoa environment is amazing. You've heard me talk about that already in November 1. Since then, the price went vertical. There's literally supply reasons behind that initially. We know that the weather, obviously, was impacting the crop volume in Côte d'Ivoire as well as in Ghana significantly in the main crop last fall. That was probably the first element. The second element that led to these price spikes were driven by large industrial players ordering very late, actually very, very late. And that whole situation then got amplified on top by hedge fund activity that actually played on top. So the thing went vertical. We're now in a period of probably eight days where it's pretty flat. So we'll see where it goes. We believe that what goes up fast, comes down fast at one point in time. And we're preparing for that. That's also why we are cautious on all the steps that we're taking going forward. But it is a very unprecedented situation as when you track back on cocoa prices, we've never seen something like that before. On Barry Callebaut, what that means is, we are well covered with beans. That is probably the biggest message that I gave to the global CEOs that I'm seeing frequently. That's the most important message. We have a clear competitive action in sourcing, but importantly, on having thousands of employees in the sourcing countries on the ground. And that is a strength that obviously, our customers are looking for, and that's a confidence that we can build in the long-term relationships as well as in the short-term support that we are giving to our customers. There remains clearly more uncertainty because we don't know what the mid-crop will come. I can share with you that both in Ghana as well as in Côte d'Ivoire, we believe that the mid-crop will be in levels as it was the year before and certainly not as bad as the main crop last fall, but everybody is looking in terms of volume for the main crop to come in fall 2024, which we obviously will only know by summer to have first indications from the pot counts so we really can give an indication what is happening with these crops. On the demand side, we see obviously a very good resilient performance in volume for Barry Callebaut with 0.7% up in the first half year, quarter two was a slight acceleration even versus quarter one. We see a mix shift from food manufacturers or branded food manufacturers into private label. You know we're serving both customer segments. And that obviously helps. And at the Gourmet business, the nonpackaged goods business is less impacted than the packaged goods side. The financials -- the cost plus model, obviously, is helping us in this situation. The team with Peter have done a great job to secure finances. In January, you're aware of the Swiss bond that we've raised. That obviously helps us navigate this environment as we have literally EUR1 billion plus more cash out than we had in the previous time to fund the beans. It's readily marketable inventory. So there's a great opportunity for us to secure and help our customers here as we go forward. So with that, let me just hand over to Peter. Thank you.
Peter Vanneste: All right. Good morning, everybody. Happy to see you and talk to you in my first results presentation at BC. And let me start by doing that and looking at the -- walking you through the H1 performance on our financials. Four key messages I would like you to retain. First of all, Peter said it, resilient volume performance with 0.7% up in a challenging market with a strong momentum on Gourmet. Second point, we protected our profitability supported by our cost plus model. This is reflected in the recurring net profit increase by 0.8%, which is in line with our volume evolution. And we're executing Next Level as planned, which related to one-off expenses that impacts the reported EBIT and reported net profit. Most or 60% of these expenses are noncash. It's important to keep that in mind, and I'll come back to it later. Fourth, the bean price increased over the half year by 75%, so from CHF2,900 to CHF5,200 over that half year, which has been increasing our working capital and reducing our free cash flow with about CHF1.1 billion driven by the loan cycle that we and the industry have between the moment of contracting the beans in West Africa to take that example and the moment that we sell the beans to our customers. That's in a nutshell where we are landing. Now before getting into more detailed numbers and bridges, let me summarize in one page how such an extreme bean price movement impacts our financials. And I'll start at the right-hand side of this page, on the free cash flow because that's where we had the biggest and the main impact. As just mentioned, the CHF1.1 billion in the previous chart, because of the long cycle I explained -- we have been addressing that with financing. I will talk about that a bit more later on. Our net debt, therefore increased by CHF2.6 billion, so by a bit more than CHF1 billion. However, when you look at our adjusted net debt factors in the very much increased value of our bean inventories, the RMI, then actually that adjusted net debt has actually -- is actually lower now than it was last year, again showing that the real -- what's happening on the bean is sitting at our inventories. So that's by far the biggest impact on our financials. Second one, I want to call out is profit. Profit is helped by our mix for sure, this half year, but certainly also supported by our cost-plus model. Recurring net profit, and I'll talk a few times about recurring net profit this time and maybe more than regularly because our interest cost has gone up. So I do focus on that line certainly now as well. Recurring net profit has been stable per ton, in line with -- and again, 0.8%, in line with volume, as I said. And on the volume side, we are operating in a declining market, minus 2% Nielsen. Now this is looking mainly at -- to be compared mainly at the food manufacturing side of our business. But our BC volumes have held up well. And because of the diversified model we had, we benefited from that. We took that shift from A brands to private label side. And on top of that, a good growth, strong growth continued in Gourmet. Now looking at volume by customer segment first. Overall, we've seen a sequential growth improvement in Q2 to plus 1% after 0.4% in the first quarter, which is ahead of an overall declining market. In the largest segment, food manufacturers, we've been broadly flat in a declining market. Soft consumer demand through the inflationary environment impacted especially the large, fast-moving consumer goods customers that we have. Gourmet & Specialties continued its strong momentum into Q2, supported again with -- also with the additional focus that we're adding with the Next Level organization and country leaders, cluster leaders across the main geographies. Global cocoa saw a slightly negative growth, impacted by lower demand for butter and liquor, again, linked back to this bean price evolution. And this -- and of course, in the context of these prices. So that is by customer segments. If we look at this from a different angle for the chocolate regions, growth has been positive, as you can see in the third and fourth column, has been positive for most regions in the second quarter and was ahead of the market in all the regions. Western Europe has seen some softness on the large branded customer side, but also captured the private label slip from that and also recorded strong growth in Gourmet. In Central and Eastern Europe, we also saw a robust performance. Food manufacturing -- food manufacturers recovering in the second quarter led especially by Turkey and Southeast Europe. And here also a solid momentum in Gourmet. In LATAM, we've seen an acceleration in the second quarter led by Gourmet in Brazil. North America has been softer for us and for the market, for sure, in the context of an overall market contraction and the weaker consumer sentiment really impacting food manufacturers, which have a strong share in that region. Asia, Middle East, Africa was impacted by challenging consumer and inflation environment, especially as a market, China and Indonesia. BC, as Peter said, has grown double digit in most markets, except in those two markets, which have been offsetting the double digit in the others. So that's in a nutshell on the chocolate division evolutions. If we now look at the EBIT bridge and starting from the left to the right, of course, recurring EBIT grew at plus 7.9% in local currencies. This is reflecting a positive mix, of course, some volume, but also -- and especially a positive mix of our business with the strong growth in Gourmet, but also that we were able to pass through financing costs as part of our cost-plus model. Again, we have a long cycle between contracting and the sales. So carrying that working capital for our customers for the industry is part of our business model, and it's part of our cost-plus model. So that pass-through is visible in the blue bar of gross profit. The cost of that is visible -- it's actually not visible in this chart, it's below EBIT. That's the cost of financing cost. And I'll come back to that in the next page. So here you see the plus of passing through. You don't see the minus in the cost of financing. Reported EBIT, if I go from the middle to the right, reported EBIT has been significantly impacted by two things. Next Level one-offs, and secondly, ForEx. One-offs were at CHF161 million, about 60% of that CHF91.5 million, to be specific, were noncash write-downs and impairments related to the two planned factory closures. Next to that, and then we're getting into the cash area, CHF54 million restructuring costs, CHF24 million transformation and program costs. Those were partly offset by some tax benefit credits in Brazil. Next to that, an important ForEx impact. Remember, in the Capital Markets Day we were talking about CHF30 million. We're not that good in forecasting the strength of the Swiss franc if you look at it now, but we have CHF37 million on the reported EBIT year-to-date, again, of course, with the strength of the Swiss francs. So that leads to the CHF178 million reported EBIT for the half year. This bridge shows the development of recurring EBIT to net profit for the half year. You can see on the left, what I just explained, the 7.9% increase in recurring EBIT, which is then offset in the middle of the chart by the higher financial costs. You can see CHF72 million versus last year, CHF60 million. This is net expenses minus incomes on the financials. This is both driven by higher debt and by higher interest rates, so that's both driving that. Recurring net profit, therefore, increased by 0.8% and as I mentioned already before, this is in line with the volume evolution and again, shows that in this very extremely inflationary environment, we're able at least to keep at the bottom of the P&L to keep our profit in sync. Cash. It's an interesting topic these days. So if we move to cash flow, we've seen in H1 a CHF1.1 billion cash out, which is much more outflow than half year last year. This is the first bar on this chart. You see we split this chart in three areas. One is the operational free cash flow, excluding bean price effects. It's more about the days of receivables and those kind of things. Then the investment in CapEx and Next Level. So all the CapEx investment plus the add-on CapEx one-offs on Next Level. And then there's the bean price effect, free cash flow. As you can see in the dark box, the dark one is that essentially the whole evolution of the free cash has been driven by the impact of the beans on our working capital, which is also about CHF1.1 billion. Maybe it's good to walk you through a few moving parts on that. I already mentioned this big cycle, long cycle in our industry, meaning that these African countries, especially the contract the beans well ahead of the delivery. So once we enter into a contract, we short futures to hedge the long-term exposure. And if the market for cocoa beans then increases the value of our short position goes down. The reverse happens, of course, when the bean price decreases. When these futures, they protect our P&L, as you've seen also as one of the drivers in the previous pages, we get the margin goals as the prices move up, and that negatively impacts our cash flow. And that's why we see a mechanical impact on our cash flow pretty rapidly even before it hits our inventories. And of course, overall, the value of our inventories, the value of our receivables goes up with the pricing of the beans. Next to that, that's the brown part in the chart. We are investing in Next Level in areas like quality. There's quite some investments we added this year. And this is offsetting -- these two things are offsetting the positive evolution of the operating working capital. So our number of days in terms of receivables, payables, inventories are moving in the right direction. But of course, it's out shadowed by the extreme increase of the bean price. We are actively working, obviously, to improve our operational free cash flow as we are moving forward. We have a diligent program on cash conversion cycle. We strongly believe in the opportunity of what we're doing with Next Level and how that will play into working capital, what we're planning to do with the footprint, what we are doing and are going to do with SKU reduction. The whole setup that we have with an end-to-end operational ownership with our COO, is going to help our forecasting end-to-end reliability of the supply chain. So all of that has -- will have its impact on the operational free cash. I'll come back to that a little bit more later. So that's on the cash flow. I hope I clarified that a bit. Now if we then translate that into the next -- into the debt, it's obvious that in the evolution of the net debt, you do find back that CHF1 billion working capital swing, which is, again, what you see on the left part of this chart. So we have the dividend payments, of course, this half year, but then the CHF1.1 billion impact of the free cash flow I was just explaining. Now, however, when we look to the right hand of the chart, when we adjust our net debt, which is what we every time also report, when we adjust our net debt for readily marketable inventories, so these are our bean inventories. The value of those obviously has gone up very significantly with the bean price evolution two times. You can see that our adjusted net debt, which is the CHF246 million in the one but last bar in this chart is actually lower than the level that we had last year. again, showing that the impact of the bean price is the dominant factor in everything I've been talking about in the last five to 10 minutes. And they're also largely showing that the value of that sits in our inventory positions these days. And with the long cycle that we carry from contracting to the sale. So that’s on that front, and maybe want to conclude before I hand back to Peter. In the context of this steep bean price increase and increased volatility, we've been proactively anticipating some of that development, not all of that, but some of that to secure, obviously, our operational flexibility, to secure our ability to continue to invest in the Next Level program because we don't want to put a break on that. And also in line with our prudent financial policy to have sufficient headroom and liquidity and our liquidity today is still healthy because of those interventions that we did. Peter talked about the Swiss bond that we did successfully a few months ago. We've extended our RCF from CHF900 million to CHF1.3 billion. We're still not using up the ICS. It's more a backstop for others. We have an interim loan that we added of about EUR260 million. So all of that has allowed us to navigate through all the changes that we've seen. It's obvious that we continue to monitor and track this. I don't even have to say this with the current bean evolution. We are in a good position. But of course, we need to watch very closely what the bean price is continuing to do going forward. And on that note, I will hand back to Peter to discuss a bit more about the Next Level program.
Peter Feld: Thank you very much, Peter. So just a few updates on where we are. I already talked you through the two legs really closer to customers and markets, appreciating that food is local and appreciating that the go-to-market strategy has to be different between, for example, Italy and Poland. And so, that's why it is closer to market is important. On the other side, simplify and digitize BC to the customers as well as internally to Barry Callebaut. As one of the examples where we progress significantly is we've implemented country cluster managing directors in all locations, we have 25 country cluster general managers that report up in five regions. As one example, we have now somebody running Canada before that business was run from Chicago. Let me say, on a Friday afternoon, while the country obviously has a very different background, a different appreciation for food and obviously requires local leadership to pull this off. Same thing is happening in Poland, same thing is happening in Italy, the same thing is happening in Spain, same thing is happening in Germany, and the same thing is happening in Belgium. And so we have now leaders on the ground that really steer the ships that are close with our customers and oversee the entire portfolio from packaged goods all the way to the small bakeries around the corner by country cluster. Centrally, we are though giving more guidance. And so we're focusing with our global commercial excellence teams on establishing clear guidelines on pricing, on the portfolio management that we would like to see and the ways we look at the market, on the channels that we want to operate in and making it transparent, which channels we want to operate in. I'll give you just one example, Luckin Coffee in China today is a massive business. Obviously, something we ought to call on, obviously something to partner with, that's just one of the examples where we need to be clear on, are we having the right penetration in channel? And are we focusing on the right things per channel? And then marketing, really taking the marketing that historically has been a lot of bespoke local activation to a lead engagement where we really go digital with the way we market our products. And importantly, we go to the end customer, be it the small bakery or the chocolatier also in the nonpackaged good side. So a lot of work still happening here on the global commercial excellence side, but the structure with the country cluster general managers well established. Peter already talked about the organization of Clemens Woehrle, who now heads up the entire global end-to-end supply chain for Barry Callebaut, including R&D. And the reason why that is important is, because we must drive professionalism and standardization throughout the respective things that we have in the global supply chain, be it the way we operate our factories, be it the way what we install in our factories, so engineering, be it the way how we do quality, be it the way that we do our planning and logistics or be it the way that we do our health, safety and environmental work for that entire engine. And importantly, as I mentioned before, also on innovation, we invent great things historically in countries like Brazil, where we have a fantastic chocolate compound product that Asia never heard about. With a global organization, we now have the opportunity to scale at much faster, and that's the work that we're actually doing here under Clemens Woehrle leadership. The second element I wanted to give you because it's -- I keep on reminding our organization that our mission is to really increase the net promoter score for our customers. We need to start establishing the tracking for that, but we're clear that there's four elements that will drive the net promoter score. So the reputation that Barry Callebaut has across all the customers. First, it's the right value to the customers. So we need to create the right price. We need to create the right innovation for our customers. The second thing is, we need to have the right service for our customers. And here, for me, we've just had a conference in Malaga with 250 commercial leaders where I reminded everybody on creating an Amazon-like customer service experience. The customer would like to understand that we've received the order. They would like to understand the order has been loaded on the truck. They would like to understand that in two hours the truck will arrive at the factory and thank you very much for the deal. That's the process we are all used to as consumers if you want. So our customers expect the same thing, that’s where we are investing in with the Next Level program. But we're also, and importantly, investing into quality, as Peter has mentioned before, and we're investing into the fourth element that will feed our net promoter score, which is sustainability. And here, we clearly make a leapfrog and traceability and segregation. That's a work that goes far beyond the necessity that we have for EUDR, then we will absolutely complete by the end of this calendar year, but we're also implementing full certified and verified cocoa and ingredients in all of our products traceable to the farm level by 2030. And that work is well underway. We now have one person heading up all of ESG and sustainability in the group, and [Nicolas Mona] (ph) is driving that forward as we speak. On simplify and digitize Barry Callebaut, we obviously now have implemented the first management level structure in a new simpler standardized operating model. And the way that we're building that is that, we have looked at all the work process and defined the roles and responsibilities for various areas and how they interact with each other. And in consequence of that, we will have an increased headcount efficiency. We will be clear what roles will be centralized in GBS locations where we create a 24/7 service mindset across all of the enabling functions that will be in the global business service areas. But we also already progressed, as Peter also mentioned, with our optimized manufacturing footprint we have done a significant network study, and we're completing that as we speak, where we have announced two factories that will go out of the network, one in Port Klang in Asia and the other one in Norderstedt, Germany and probably a few to follow. So on that side, we're making good progress here on simpler standardized operating model and operate footprint and seamless digital ways of working. As I mentioned before, we're very happy that Amr Arafa has joined our leadership team really propels our digital capabilities forward and thinks about how to manage all the data that we have in Barry Callebaut that sit in isolation and certain applications, bring it together and make it available, both for us internally in Barry Callebaut, but importantly also for the customers or for the NGOs who also have a need for information and understanding. And that work is starting, is the work that will really create a sustainable data-centric end-to-end connected value chain from cocoa farms all the way to our customers. So with that, thank you very much first here and give back to Peter.
Peter Vanneste: Thank you. Still on Next Level, we are on track with the program. We are on track to realize the cost savings as we were planning them already in November. Let me take you a little bit to a closer look also to the phasing. For the current fiscal year, we are on our way to reach 15% to 20% of the total savings as a run rate in the last quarter. So it's a ramp-up, of course, within the year. With some of the measures that Peter has just been talking about, that starts to result in the first savings. On top of that, we are well on track and well prepared with the GBS implementation. As we discussed in November, 75% of the savings are planned to flow through to the bottom line as we balance the investments in growth. And 80% of our cost-saving initiatives will be actioned by the end of March 2025 with a run rate EBIT impact occurring from that -- grows to that extent by the end of the fiscal year. So that's what you see on the right-hand side, the run rate savings as we plan them to see end of this fiscal year, end of next fiscal and end of August -- the fiscal after that. So in line with what we're planning and working hard for. Now let me show you a bit more granularity, especially also for this year on the Next Level, operating expenses on this page and also on the CapEx on the next page. The total program OpEx, as a reminder, I think you've seen that is CHF290 million over 2023 to 2026. CHF260 million of that is one-off costs, CHF30 million is recurring OpEx. The majority of those are related to establishing the new operating model, including manufacturing footprint, headcount efficiency, GBS, end-to-end operations. And next to that, there's program costs, including a significant amount of quality assurance costs, build-up costs, investment in some selected strategic area where we feel we need to ramp up investments and IT costs as well. This CHF260 million is excluding noncash items. And I'm saying it also referring back to H1 because in H1, we saw CHF169 million one-off expenses related to Next Level. I already said CHF91.5 million of that noncash in impairments and write-downs. This noncash impairments were not included in the CHF110 million, CHF130 million range that was given as a onetime OpEx at the Capital Markets Day in November. That was the cash side of the whole program. Also, some of those areas we're not yet clear at that point in terms of noncash write-offs. Without the noncash, we have booked CHF78 million in half year one that has or will have a cash out. So you need to compare that CHF78 million with that range of CHF110 million to CHF130 million that we gave at the Capital Markets Day. We are reiterating that outlook of CHF110 million to CHF130 million for this fiscal year, excluding, again, the noncash items that we have booked. Be it probably at the -- at the upper end of that range as we are trying to accelerate as much as we can, of course, on the program. That's one the OpEx. If you look at the CapEx expenditures and benefits, there's a CHF210 million net capital investments, which exists over CHF490 million, almost CHF500 million CapEx, again, over that period that I talked about, cumulative and CHF280 million capital benefits cumulative till fiscal 2025, 2026. As you can see on the right-hand side of the chart, a bit more detail where this is going into. The majority of the investments are in our footprint optimization. That's the red box that you can see in the first bar. By adding capacity and investments to new sites as well as quality, and that's the brown bar that you see on that same chart, quality investments that already we started doing now and that we're continuing as we go forward. Next to that, we're adding investments -- strategic investments in sustainability, traceability, obviously, now with that being very important for the whole industry and us, certainly with our sustainability strength playing a big role. Operational excellence and digitization are the other areas that enter in that split of the CHF490 million CapEx. Capital benefits. The next bar, CHF280 million is essentially driven by working capital improvements in -- more in fiscal 2024, 2025 and 2025, 2026 than this fiscal year. They will be fueled by the NL initiatives I talked about -- Peter talked about. So I mean the SKU, the footprint, planning excellence, there are some initiatives in indirect spend, productivity improvements. So all of that are leading up to this CHF280 million, obviously, with the current bean price, the absolute amounts of the reduction of a day are higher than what we're talking about six months ago. So we are confident that we can get these levels. For this fiscal year, again, we've been guiding on this range of CHF90 million to CHF110 million of CapEx. We are still into that, although we expect we are certainly going to ramp up in the second half year of this calendar year because we had to, of course, start up a lot of things after the Capital Markets Day. We probably might be a bit on the lower end of that range, but there's certainly a step-up to come in H2. Okay. Now having talked about Next Level, having talked about the half year one results. Let me take back some of the points that Peter touched on the beginning. I'm not going to try not to duplicate too much, but it's good to go a little bit deeper in both the supply side and the demand side of what's happening right now and how we look at that and how it's evolving, to first of all frame and acknowledge the short-term pressure, uncertainty and volatility that we are working in. But at the same time, also highlighting the midterm perspective that we see for ourselves for supply, the solid category fundamentals that we're in. And last but not least, the fundamental strengths that we see have has to navigate very well and successfully through such a market disruption. There's always an opportunity in a disruption, and I think we're well positioned to go through that. So first, the bean supply side. Short-term supply has been very challenged with disappointing harvest in West Africa. Aer Nino weather fluctuations have seriously reduced the harvest in the main crop. Also some underinvestment in brand stocks, which is, of course, critical for the long-term supply. Farmers do not yet benefit again in West Africa, do not yet benefit. It's different in other markets, but not yet benefit from the higher bean prices that are very visible in the markets. But that is something that will evolve and that will have its importance. And importantly as well, Peter mentioned that we have -- we're happy with the way we secured the beans this year, and that's where, again, the sourcing strength of Barry Callebaut certainly plays. In terms of short-term uncertainty, of course, we still have the unpredictable weather. But at this point, we see mid crops developing more normally, which is a positive sign. We're not out of it completely yet, but at least at this point, it looks reasonable. The EDR is a big theme of course. We're well ahead in preparing for all of that. We're making a major step forward to be ready when that hits at the end of the year. Looking a bit further out, we do believe that these supply pressures will ease in West Africa, these high prices that will get through to farmers. We'll encourage farmers to invest more in fertilizers. We'll invest more in replacement of agent fees in productivity and so on. And in the other markets, like Ecuador, for instance, we see that already rising in prominence. It's obvious that the appeal of a higher bean price makes their cases different. There's more available land. Sometimes the diseases that you've seen in West Africa are not being present there. So all of these areas will make that what we sometimes say, high prices cure high prices. So that those elements will put more supply into the market that basically make a correction on the price in the midterm. Some of these things can go pretty fast, like fertilizers, some other things will take a bit of time, because you need to have a tree that grows. As mentioned a few times, we believe that BC has certainly a competitive strength already today to navigate through all of that, and we do see a clear opportunity at the same time as being cautious that there's many moving parts today. And we are certainly a catalyst in this midterm supply environment. We continue to invest there. We have planted 7.5 million trees last year. We're providing labor support and fertilizers to West Africa. We're investing in innovative agricultural practices in our firewalled future in Ecuador to improve the yields health and so on. So that's something that certainly now is more relevant than ever, and we continue to invest. Jumping over to the demand side. Before looking at the short term, I will look at the short term as well, but it's important to keep in mind the long-term resilience of the category. If you look at grinding volumes over the past 50 years, this is the red line, you can see a consistent positive trend in cocoa use, despite sometimes very significant cocoa price fluctuations despite crisises and wars and no kinds of things that happened over this exact time line. The pricing is the black line, by the way. So we are in a high engagement resilient category with consumers who are very dedicated with a product that is applied in more subcategories and more applications. Now having said that, I don't want to ignore a short-term risk on demand. It's also clear that especially steep price increases can have an impact on short-term demand. If we look at the chocolate confectionery category over the last 10 years, which is the chart to the left here, 10 years, we see that steep price increases have had short-term impacts on demand. So it's also why we now -- as we look forward now in the short term, there will be some more pricing to come. Obviously, if you look at the beam price evolution just until not eight days ago, before the eight days ago. There will be some more hit in the market, which can have a short-term impact on demand clearly. This tends to impact the large, fast-moving consumer goods more as we've seen also in the resulting impact, and that's the chart on the right, with an increase in private label share in the chocolate confectionery market. And again, we -- as our presences in both segments, we cover both segments there. But it is clearly a trend that consumers then down trade to value brands in the short term. Now looking at the last two years, there has been quite some pricing already in chocolate. And that's the picture on the left, this is on chocolate products in an environment more triggered by a large general inflation than -- this is not about the recent bean price spike. This is the large inflation over the last few years. And there's been 20% pricing in chocolate over 2021 to 2023. And in that period, we've seen volumes, category holding very well. So there is some resilience to it. Again, more pricing will come from the bean, I’m not ignoring that, but this is a resilient category, and this is what happened in the last two years. Now we have a bit more of a balanced exposure in all of this because we do have a significant businesses beyond the chocolate confectionery in pastries, in biscuits, in ice cream where price increases are likely to be a bit lower because the cost translation of the Kakao component in the end product is lower in those categories. It's lower also in Gourmet. So that's why our portfolio is a little bit more balanced than straight on chocolate. So in conclusion, with the recent bean price movements, there will be some more pricing to come, as I said. So far, we are managing well as a company, as you've seen in the half year results. We do believe we have fundamental strengths to navigate really well into this environment, not just with the balanced portfolio I just talked about, but it across and from those strengths, while navigating to the short term, we are working closely with our customers to help them also navigate through that. And Peter will come back on that a little bit more in the last section.
Peter Feld: Thank you very much, Peter. So then really looking forward, I mean, as Peter was just saying, I mean, obviously, we have the right assets in this environment and customers turn to us. We had some pre-discussions here already. I mean literally every week with a large customer or a small customer, CEO. I keep on doing that. I think it's important that I feel that market dynamic going on -- and it's very obvious that customers look for us to be the expert in chocolate in this price environment, but also as the regulators have made operating in cocoa and chocolate so much more complicated. I mean the complexity that the EUDR is actually bringing is massive in terms of technology capabilities, we can handle that, and so people turn to us to look at that. So we clearly have the right assets here to go into that situation. Our global scale for our end customers helped significantly. We're having many discussions around the world where people are literally getting informed about the new factories that we're building in Canada, in Branford as well as in India and the opportunities that we have on a global scale to serve our customers. But more importantly, the presence and the physical presence that Barry Callebaut has since decades in the original countries, in the sourcing countries, is really an asset for us that plays to the global scale benefits. We also -- and that's the other discussion we have with customers, have massive projects underway to reformulate. We have created products that actually leverage cocoa powder more effectively into certain products and customers have turned to us to actually see how they can actually benefit from those opportunities. And we're also proactively selling those products and offering those products in the market. So innovation reformulation is a big topic as we're working short term through the challenges that Peter just mapped out. And then last but not least, the financial stability and the strength of the balance sheet of Barry Callebaut is obviously unparalleled in this situation. So, having said that, we are at the same point in time, driving our investment program forward, as I mapped out to you with BC Next Level that will really unlock the full potential in the long run for Barry Callebaut. So with that, we're reiterating our 2023-2024 guidance in the context of this unprecedented volatility we see in the market. We are cautious. We are going day-by-day, but on the other side, we have no reason to change the forecast that we have given to you before the guidance that we have given to you before, which is flat volume growth for the end of the year, as well as flat EBIT growth on a recurring basis in constant currency. And in that, we're obviously looking at the bean supply uncertainty, we're looking at the price volatility in cocoa and the customer environments and the impacts that this whole situation will have to our customers. So concluding results. You've seen that solid performance in the first half year in a challenging market environment. We're executing and starting to really make progress on all four growth elements that we have mapped out to you on November 1. We're on track to deliver our Barry Callebaut Next Level investment commitments and we're cautiously navigating this unprecedented environment that we are currently in. So we're reiterating our 2023-2024 guidance, flat volume, flat EBIT on a recurring basis. With that, thank you very much. We'll take a little moment to get a table here. If that's okay for you, and then I'm very happy to take questions from the group here in the audience as well as from the people online. So thank you.
A - Sophie Lang: Yes. We are ready for question. And we will start in the room before we go to webcast. If I could just ask you to please limit yourself to no more than two question. Jorn, please go ahead.
Jorn Lundahl: Thank you. Two questions, please. I’m Jorn from UBS. The first 1 would be, please, on your second half EBIT outlook. You mentioned cost savings are coming through around 15% of your cost savings would be initializing in fiscal year 2024. So this should come on top to the underlying EBIT performance for the second half. So is there any reason really to believe that at the end of the day, second half EBIT should be below the first half also considering these cost savings? And the second question would be, please. You are guiding for fiscal year 2025 for low single-digit volume growth, a modest volume growth. I mean, do you still feel comfortable with this guidance, looking on the price increases the chocolate industry is likely facing over the next 12 months? Thank you.
Peter Vanneste: Yes. Well, I'll take the first question on EBIT for the full year. It's true that we have a good momentum on EBIT, as we just presented in the half year one results. There is some next level savings coming in -- at the same time, we are operating in a market with vertical bean pricing, which can have an impact on the demand side. So we prefer in this kind of context. And actually, the whole bean has an impact and is a higher risk environment for the whole ecosystem around us. And that's why we prefer to be cautious in what we are looking forward to the second half of the year.
Peter Feld: Yes. In terms of volume forecast, as you're probably looking at the packaged goods side, right? So on the packaged goods side, as I mapped out on the first of November, we saw this first cycle that came from the price hikes in the inflationary environment, 2022 specifically leading into 2023. We were actually at that point in time, November saying that we think this will be over by this time or maybe a little later this summer, with the increases, as Peter mapped it out in beam pricing now, we obviously anticipate that packaged goods customers will have to ask for certain price increases that differs by category between 3% to 8% is roughly the estimates between the categories that we've mapped out to you. So not as significant as some of the price hikes that we've seen in the inflationary environment. I think that -- the retailers are also playing their role there. You know that there were various delistings of large customers and brands when that happened two years ago or 18 months ago, we anticipate the same disruption now. But there will be shifts. There will be players who operate more effectively in this business. And you know that especially the very large customers that we operate with, we only do less than 10% of their supply chain. And so they're also having to think through how do they actually deal with the supply shortage that we currently see in this moment. So I think we're well positioned here, and that's why we retain what we have told you earlier.
Andreas von Arx: Yes. Good morning. Andreas von Arx from Baader-Helvea. First question is on the midterm guidance. I mean, visible alpha is for 2027. So that's the year where all savings come in 100% at CHF850 million. If I take 75% of CHF250 million cost savings, on the CHF660 million EBIT from last year, I also get to CHF850 million plus/minus. Is that still a number you're comfortable with? Or does the current environment will have an impact that will last also for 2027. That's the first question.
Peter Vanneste: Sorry, I'll take it. It's easier for us as well. Yes, we absolutely stand by the improvement in the profitability and in the margin that we've been talking about Capital Markets Day. We absolutely think that also in current environment in the midterm in the time line that you're describing. This is absolutely feasible. The first step with that is going to be realizing what we've been discussing in the Next Level program, so the CHF250 million in the phasing and the timing that we set. The second step with that is by doing that and by doing all the interventions, making ourselves stronger for the growth in the next five, 10, 20 years and doing -- and growing in the mix in Gourmet, the outsourcing initiatives. So that's obviously the second thing. The third thing probably to add is, hey, it's with the current disruption in the market. It is a strategic opportunity to gain share for Barry Callebaut if we play our strengths well. And that's why we absolutely stick by the ambitions that we put forward in terms of EBIT in the midterm.
Andreas von Arx: So the half year results are for end February, and you said that's on a cocoa price of CHF5,300 versus CHF2.9 in the year before, and that cost you CHF1 billion on the balance sheet. We are now at CHF8,000. So we just add what another CHF1 billion to CHF2 billion at the half year. So if the bean price would stay for the next 12 months, we just add another CHF1 billion to CHF2 billion on the balance sheet. And is that even manageable with your RCF? Does your RCF still in place in 12 months? Or do we have to be concerned on the balance sheet? And then I have one last one.
Peter Vanneste: Okay. Believe me or not, I was anticipating that question. We obviously had, yes, the CHF1 billion impact on the bean price increase, and I explained the whole long cycle. I think I hope that was clear. Yes, since the end of the half year, where the bean price was at CHF5.2, it's now at CHF8.3. So you can expect a similar order of magnitude impact on the inventory value on the working capital as well, by which I'm not saying all of it is going to fall in the second half year because we do have some liquidity swaps in place that help us to face those outflows closer to our business cycle. So not all of that necessarily falls into the second half. But of course, everything I'm saying right now really depends on what the bean price is going to do over the next few months, and we've seen that, that can be surprising sometimes. On the RCF, and today, as I said, we are, of course, monitoring very closely what's happening. Today, we are okay on liquidity. We are still not using up our RCF. That's in line with our prudent financial policy to create -- to offer -- to be able to absorb shocks that might be there short term. We don't intend to use it. And yes, again, it depends on what happens and at what price stays, the bean price stays, we might add some financing if we think it's needed. So that's what we're monitoring. The very short term, we're absolutely okay. So we're tracking the bean price.
Andreas von Arx: Okay. And the last one, if I remember correctly, you postponed talking about ROIC at the Capital Markets Day. Now we're six months later. Of course, given where the bean price is, this is a significant impact on invested capital, but where is your position on the potential midterm ROIC target at the moment. Thank you very much.
Peter Vanneste: We're still not guiding on that right now. It's something that -- it's 1 of the many things that's honestly on the list, and then we will come back on that. But at this point, we don't have any further guidance on that front, it's -- as you say, it's of course, impacted by everything that's happening, but we're now more focused first on the moving targets and navigating through that, we'll come back to that in due time.
Sophie Lang: Maybe we go back to Pascal from Stifel.
Pascal Boll: Thank you. Pascal Boll from Stifel. Peter, you mentioned before that retailers and now also food manufacturers are playing their game. Now coming to your cost-plus model, I acknowledge that you can pass on the costs. However, is there a certain threshold where maybe also your customers ask you to share some of the burden? .
Peter Feld: I mean, these discussions may come. I can tell you that we have weathered the situation very well with our teams. We have many discussions today that go about supply rather than about price, and that's actually very positive for us. But I think that when you really look at the dynamics of the increasing demands on the cocoa supply chain with sustainability, traceability, really understanding the UDR requirements that are coming there. Customers are looking to us to actually help them in that situation, and they appreciate that, that comes with the price.
Pascal Boll: So you believe you will be able to pass on all the costs you incur.
Peter Feld: That's a job we need to do every day.
Pascal Boll: Then on the cost savings. In a recent interview, you said that you're going to cut around 20% of the workforce going forward. How much of that should we expect to contribute to the CHF250 million in cost savings? And since you already now announced that a few months ago, when should they actually materialize?
Peter Vanneste: Yes. As we've mapped out earlier to you, we would like to see all the activities from Next Level hardwired is the term I used in November 1 by the end of March 2025. And what that means is that, we need to have announced any factory that needs to be shut down. We need to be clear with every employee if they lose their job or if their job goes into the GBS. I would like to also say that the 19% reduction that you mentioned is the gross reduction because we're obviously staffing up in other locations in GBS, for example, in India and other places. But that is indeed the situation. So we're preparing that carefully because we obviously have to have those social dialogue discussions which are well underway. You may have seen this morning in the press in Belgium that the factory is fully back up on 100% utilization. And that's obviously very important for us as we go through this period.
Pascal Boll: Maybe one further question on outsourcing. As you don't disclose the outsourcing component separately anymore, can you maybe give us some more granularity on the deals you secured in H1 because you're mentioning that you have secured some incremental ones maybe in terms of size kind of outsourcing deal or geography?
Peter Feld: Let me do that when I'm allowed to do it. There are certain reasons of various different reasons why we're holding back with calling it out who it is, and we will do that in the next reports that we give to you.
Pascal Boll: Thank you.
Sophie Lang: [indiscernible]
Daniel Bürki: Yes. Daniel Burke from Zürcher Kantonalbank. I have two follow-ups. You mentioned the big consumer companies just have to increase prices 3% to 8% is not more?
Peter Feld: No, that's the guestimate that we have right now. Look, it's the estimation from what we saw in the past going into the future and the percentage of chocolate impact to the respective categories. Obviously, when you think about a play in bar of chocolate, you have a very big impact. You still have a lot of other products in that chocolate, but that's a big impact. If it is just chocolate crumbles in a cookie it's much less. If it is ice cream, again, it is a very different percentage of the total end product that will be sold to a consumer. So that's why we say 3% to 8% is depending on which category that we're actually talking about. So, it's still an impact because people have already, as Peter was showing, taken quite a price increase in the inflationary environment. And we're trailing back now. Now the trend is going in the other direction again, but it is far less excessive as we assume versus what it has been in the past.
Daniel Bürki: Thank you. A follow-up also for the other Peter. Regarding net debt, at the moment, you stand at 2.9 times. You mentioned there's no covenant if I hear you this multiple can maybe go up to 4 times, right? You think this covenant discussions will start.
Peter Vanneste: First of all, we have indeed no covenants into that metric. We have other covenants in terms of profitability per ton and interest cover on which we are way ahead of any potential breach. So that's all fine. There's two ways to look at this as well, our leverage has gone up from 2% to 2.9% because of everything I've explained. If you take into account the RMI. So the adjusted net debt leverage is CHF0.4 million because of that value that sits in our inventories, which is an additional sign point to keep in mind. Of course, it's something that we monitor and that we have discussions on, but it's not something I'm really worried about at this point.
Daniel Bürki: Thank you.
Samantha Darbyshire: Hi. Sam from Berenberg. I've got a few questions for you. Just going back to that 3% to 8% price increase. What time line are you referring to for that? Is that in 2025 that you're expecting that price increase?
Peter Feld: It depends on the region. So when you look at North America, specifically U.S., you probably have a three or two, three months time lag between the realizing that the bean price went up and they need to implement something with retailers in Europe, that is a much longer period that you're talking probably six months to a year. So it depends really by region of how fast this will be materialized in the different markets.
Peter Vanneste: And it is a moving target. Again, bean price moves every day. So the important point is that as it looks right now, it's below what has been priced in the last two years.
Samantha Darbyshire: And then I think you already answered this question, but I just want to double chat. The passing on the higher cost to your customers, does that include all of the costs associated with the higher working capital? Or is there anything that could be missed?
Peter Feld: Yes. So this -- the working capital cycle that we follow is something that has been there for a very long time. I mean, sourcing the beans 12 to 18 months ahead of the sale. It's part of the business model. It's part of how we made agreements with customers. So it's part of the cost plus. So that impact is factored in. Now there's different ways how it's factored in, which I'm not going to go into. But overall, yes, it's factored into the cost plus model of one of the costs of doing business.
Samantha Darbyshire: Okay. And then sorry, one more question. Just we've been hearing a lot about large industrial players struggling to actually procure enough cocoa, especially with Ghana defaulting. Just wondering, have you already seen some impact of people coming to you at the last minute kind of desperate for supply or is that something you're expecting to happen in the next three months or so?
Peter Feld: It's very, very obvious that, that is happening. People have just already in December, started to hold back with securing additional volumes. Peter was talking earlier about the long supply chain that we manage. We go 12 to 18 months prepurchase into the market. We're taking that very carefully, building up the volumes that we need for the year to come. Some other players have not done that. And of course, they're turning to us to figure out what to do. Now we feel that we need to do it in the right way, where we can help, we will help but we also have obligations to other customers who have long-lasting partnership agreements on volume with us that obviously we need to service first.
Samantha Darbyshire: That’s great. Thank you.
Sophie Lang: If we don't have any more in the room, maybe now it's a good time to check if we have any on the webcast. Moderator, could you please go ahead with the first question from online, if there is one, please?
Operator: Thank you. [Operator Instructions].
Sophie Lang: It doesn't seem like we have any online -- Sorry, there is one more coming in, I think, go ahead, please.
Operator: We have a question from Emmanuel Peter with [indiscernible] Bank. Your line is open. Please go ahead.
Unidentified Analyst: Yes. Hi. Thank you for taking my question. I would like to get -- come back to this cocoa price situation and ask you if you probably could provide us with some kind of scenario analysis, for example, what would happen if the cocoa price would double from today's level again? What would that mean for profits and free cash flow? And then maybe also the other way around. So what would have happened to profits and free cash flow, which the price suddenly drops to a more normal level again?
Peter Feld: Yes. Thank you for the question. Well, first of all, the biggest impact and the most immediate impact is on free cash flow, so -- which we have seen already in the half year one, and that's essentially what you would see up and down. If it moves a certain direction going forward from where we are today. It's, again, first, very quickly visible for us through the margin claims. But at the end of the day, it increases the value of our inventories, our receivables and our payables. So working capital is the direct effect. I've talked about that a bit already. So you would see, again, up and down quite fast if it happens. Second area of potential impact is on volume because it's the short-term impact that the market can have. Again, we're not worried about the long term, but if there's big peaks on pricing in the short term, you can expect that there is a short-term correction on the market until everybody has all the players, consumers, customers have. We established the promotion plan, have digested all of that. So there's a bit of a bump potentially that -- and of course, depending on how we navigate in that environment, that can have an impact. And on profit, as we mentioned before, I mean, we have a well-established cost-plus structure that works up and down, and that's what we have been using and that we will continue to use with our customer base. So that should secure our profit from that front.
Peter Vanneste: Maybe if I can build on that, Peter. I mean, I don't want to speculate where the price will go, but there is no technical reason for the price to be where it is today. I think the industry has learned. There was a question earlier, have people sourced too late. Yes, they have. So people have learned from that experience already painfully. Hedge funds have massively left the playing field. So I mean, when you look at those different variables, it would be surprising to see another doubling of the bean price, right, unless speculators come in and [indiscernible]
Peter Feld: And as we're building. I think also if you look at the forward prices, right? That's what we base our as well. The forward prices are lower than the really short ones, the third fourth positions. And that's at the end of the day, where we see the price is stabilizing at a higher level than it was six months ago that I'm not going to deny but -- because there's going to be some -- at least short term, some still some pressure on the price up because there is inventories and stocks need to replenish. But it's -- as Peter said, there's no clear reason why it's going to be that high, just look at the forward prices. So we do expect some coming down and stabilizing at the lower level than it is today, but higher than what it was.
Sophie Lang: I think we're running up on time. So I think we conclude the Q&A session there, and maybe, Peter, you'd like to make some closing remarks.
Peter Feld: Well, thank you very much here in the room and online for joining us today in this conference and look forward to having you here in the room for a little drink and some food outside. So thank you very much for your attention. Thank you.